Operator: Greetings, and welcome to Build-A-Bear Workshop Third Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Gary Schnierow, Build-A-Bear Investor Relations. Thank you. You may begin.
Gary Schnierow: Thank you. Good morning, everyone, and welcome to Build-A-Bear's third quarter 2024 earnings conference call. With us today are Build-A-Bear's CEO, Sharon Price John; and CFO, Voin Todorovic. During this call, we'll refer to forward-looking statements that are subject to risks and uncertainties. Actual results could differ materially. Please refer to our Forms 10-K and 10-Q, including the Risk Factors section. We undertake no obligation to update any forward-looking statement. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which is distributed and available to the public through our Investor Relations website. Now, I'll turn the call over to Sharon.
Sharon Price John: Thank you, Gary. Good morning, and thanks for joining us for Build-A-Bear's third quarter fiscal 2024 earnings call. We are pleased to report strong results this quarter as we continue to execute on our strategic initiatives to evolve and diversify the company's business model, to drive profitable growth and to leverage the power and affinity of the Build-A-Bear brand. These results represent the best-ever third quarter in Build-A-Bear's history, although the web continued to perform below expectations. Some highlights for the period include revenue growth of 11% to over $119 million, pre-tax income growth of 26% to $13 million, and as we continue repurchasing shares, an EPS increase of almost 38%. Adding the quarterly dividend to the stock buyback, we returned $7.5 million of capital to shareholders in the quarter. Even with our strong third quarter total results, given that the web has continued to perform below our expectations, we are narrowing our revenue guidance and updating our pre-tax income outlook for the year. Of note, we remain positioned for fiscal 2024 to deliver our fourth consecutive year of record revenue, and Voin will provide additional details in his comments. Over the past few years, within an environment of a variety of economic headwinds, we believe our ability to consistently generate profitable results is largely driven by the focus on our three key strategic initiatives to drive long-term profitability and growth. The evolution and expansion of our experience location footprint is our first initiative; the second is the acceleration of our comprehensive digital transformation; and third, the continued investment to support our initiatives to both expand and leverage the power of the Build-A-Bear brand, all while returning capital to shareholders. Said another way, we have been investing to increase repeat purchase while expanding our addressable market to new people in new places and with new products. The first strategic initiative of expanding our experience locations represents well when we opened our net 17 new units in the third quarter. We restarted store growth in 2022 after successfully expanding store contribution margins and improving store return on investment. We also diversified the risk often associated with new locations with more store types, opening in a variety of shopping environments and entering more geographies, as well as through our three retail location business models of corporately-operated, partner-operated and franchise. As a reminder, our revenue per store varies widely given the business model and the unit format. By the end of fiscal 2024, we expect to have opened more than 110 net new locations over the past three years, bringing our total to almost 600 locations worldwide. Currently, most of our unit growth is with our partner-operated model, which requires little to no Build-A-Bear capital investment. Specifically, through the first nine months of the fiscal year, 31 of 40 net new locations are partner-operated. Since we opened our first domestic partner-operated stores some years ago, we have seen solid success in expansion, most recently with Great Wolf Lodge opening two units and a new partner, Vail Resorts, opening one unit in the quarter. After COVID delay, we are proud to have opened our first international partner-operated location in September of 2023. As of the third quarter-end, there were 10 Build-A-Bear experience locations in Italy alone with expectations for continued expansion. Additionally, during the third quarter, our existing Colombian partner opened their second and third locations, and we welcomed new partners in Denmark, Norway, Sweden, Lithuania, Latvia and Mexico. When you include our international franchise workshops in Australia, New Zealand, Chile, Kuwait, Qatar, the United Arab Emirates, South Africa and China, Build-A-Bear is now in more than 20 countries. Separately, as a part of our continued domestic expansion, we are also growing our corporately-operated footprint, opening four new locations in the quarter, representing a mix of traditional and concourse stores while closing three. In total, since February, we have added 40 experience locations across all three retail business models, again, corporately-operated, partner-operated and franchise. And we have increased our guidance to open at least 65 net new experience locations during fiscal 2024. Our second initiative is the acceleration of our multiyear comprehensive digital transformation across the entire company, including omnichannel capabilities. While we have implemented much of the technology to enhance our opportunity to drive both online and in-store sales, as we have discussed for the past few quarters, we believe we are still in the early stages of optimizing these omnichannel tools, including AI. Again, many of the steps we are making are based on the creation and execution of a robust omnichannel model, which when fully embraced, has been proven to help brands and retail companies unleash the combined power of in-store, e-commerce, e-mail, social media, loyalty and traditional communications tactics through a more personalized unified vision. With the power of the Build-A-Bear brand, and up to 50 million annual Build-A-Bear workshop visits, plus an estimated 50 million annual website visits, combined with an 85% data capture rate in stores and over 20 million first-party data records, you can understand why we believe this is such an important part of our strategic effort. The third initiative is the investment to leverage the awareness, affinity and power of the Build-A-Bear brand to both diversify and drive profitable growth while continuing to return value to our shareholders. In fact, we have returned over $31 million through dividends and stock repurchases to shareholders this year and more than $120 million since 2021, while simultaneously evolving the company by investing in product, partner relationships, content, infrastructure and talent. Regarding product, we are expanding our audience with new offerings as we continue to broaden Build-A-Bear's consumer base by taking advantage of our growing multi-generational appeal through collectibles, trends, licensing and gifting, as well as new plush segments. Trend products include Vault offerings, such as our fan favorite Pumpkin Kitty, and viral items such as our Mothman Plush or our new holiday cookie Capybara, which has already generated over 20 million online views. New concepts include expanding beyond our make your own products into differentiated plush segments, such as the new Build-A-Bear Mini Beans collection, which is sold in-stores, online and to our partner stores through our wholesale channel. Introduced in just February, still Mini Beans are priced under $10 and released in collectible waves with mini styles based on popular full-size plush offerings. We are pleased to share that in its launch year, Mini Beans is well on its way to exceeding 1 million in unit sales. A recent example of partner relationships is our long and successful license collaboration with one of our best-selling lines, the Sanrio Hello Kitty collection. This includes a first-of-its-kind Build-A-Bear and Hello Kitty and Friends Workshop located in the premier West Century City -- Westfield Century City Shopping Center in Los Angeles. The store opened to great fanfare on November 15, surpassing our sales expectations and driving over 640 million media impressions. Now, regarding our investment in talent, in the past few months, we've made two strategic additions to the leadership team. The first is Dave Henderson, who joined the company in the newly created position of Chief Revenue Officer, and will report directly to me. His focus is on driving growth across our primary revenue streams at corporately-operated experience locations and buildabear.com, plus driving expansion opportunities beyond these traditional channels. Dave brings over two decades of toy, consumer products, operational and retail experience, including most recently serving as the Chief Commercial Officer at Melissa & Doug, following some time at Newell Brands and a lengthy and successful career at Hasbro. Secondly, I would like to welcome Kim Utlaut, who has joined us in the newly created position of Senior Vice President and Chief Brand Officer. Kim will lead the continued evolution of the Build-A-Bear brand and communications strategy, reporting directly to Chris Hurt, our long-standing Chief Operations Officer, who also now oversees product development, marketing, public relations and licensing, while continuing to drive our international expansion. Kim brings over 20 years of experience in senior leadership roles at Coca-Cola Company, largely focused on strategic partnerships. We are delighted to have both Kim and Dave on the Build-A-Bear team. As we look to the final quarter of the year, while we have continued to work -- while we have continued work to do on the web, we are encouraged by our quarter-to-date store results, highlighted by our overall holiday selection, including our multiyear centerpiece, Merry Mission, which is inspired by last year's launch of the animated feature film, Glisten and the Merry Mission. As envisioned, we continue leveraging the movie and the storyline in our marketing, and we expect our magical sparkly snow deer Glisten to be one of our best-selling plush items for the fourth quarter again this year. In summary, we are pleased with our third quarter's 11% revenue growth and 38% EPS increase, plus the net new unit growth of 17 locations and our launch into six new countries. As we look forward to the holiday season and beyond, we believe we have the plans in place to deliver record revenue for fiscal 2024. In the longer-term, our focus remains on the top priorities of evolving our experience location footprint, accelerating our digital transformation, and while returning cash to shareholders, continuing investment in our strategic growth initiatives that leverage the power of the brand. As we report today from the New York Stock Exchange, where we will participate in the annual tree lighting ceremony this evening, I can't help but think about our journey and be incredibly proud of and grateful for this remarkable organization. My thanks extend to our amazing guests and partners around the globe, who are also an important part of our corporate mission to add a little more heart to life. I would now like to turn the call over to Voin.
Voin Todorovic: Thank you, Sharon, and good morning, everyone. It's good to speak with you again today to share our third quarter 2024 results. Before I touch on the financials from the past quarter and provide an update on our 2024 guidance, I want to recap a few highlights. This was our best Halloween season and the best third quarter in the company's history, as we recognize the growing popularity of Halloween, both in general and in our stores. We strategically broadened our seasonal consumer offerings, increased our Halloween inventory, launched the seasonal marketing campaign earlier in the quarter, and brought back key successful Vault items to drive record sales. Also, as a result of consistent performance and strong cash flow generation, we continue to return capital to shareholders. We paid our third quarterly dividend and, during the quarter, spent nearly $5 million to repurchase shares. On a year-to-date basis, we have repurchased over 5% of our outstanding share count. Now, moving to third quarter results. For the quarter, total revenues were $119.4 million, up 11% year-over-year. Net Retail sales increased 9.1% to $109.5 million. Our 9.1% sales growth was driven primarily by existing stores in both the US and the UK. Our store traffic again outpaced national traffic, increasing by 3%, most likely benefiting from our Halloween efforts and the earlier investments in our brand campaign, The Stuff You Love, while national traffic decreased by 3%. In fact, our stores saw increases across all four sales levers: traffic, conversion, average unit retail and units per transaction. Web demand rebounded from the second quarter's decline to increase by 1.3% for the quarter. We mentioned on our previous call that third quarter e-commerce demand began with a double-digit percentage increase. However, our performance softened for the remainder of the quarter and into the fourth-quarter-to-date. Looking ahead, we expect web demand to remain down for the fourth quarter, impacted by a combination of challenging traffic performance in November and more difficult product launch comparison. Commercial revenue, which primarily represents wholesale sales to partner operators and international franchise revenue, was up a combined 38.8% versus the prior year. We continue to expect solid growth for the Commercial segment on a full year basis. On a sequential basis, we currently expect fourth quarter Commercial revenue to be below the third quarter. Recall that the Commercial segment's quarterly revenue can fluctuate due to the timing of shipments for new and existing stores. Gross margin was 54.1%, an increase of 140 basis points compared to last year from both Retail gross margin expansion, driven mainly by growth in merchandise margin, and Commercial margin expansion. SG&A expenses were $51.6 million or 43.2% of total revenues, a 10-basis-point improvement year-over-year. For the full year, largely as the result of increases in medical insurance costs and continued minimum wage escalation, we now expect SG&A as a percent of total revenue to be slightly above 2023's level. Pre-tax income grew 26.4% to $13.1 million, a third quarter record. Diluted earnings per share was $0.73, an increase of 37.7%. This reflects our growth in pre-tax income, a lower tax rate, and a reduction in share count compared to the prior year. With respect to the balance sheet, at third quarter's end, our cash balance was $29 million, representing a $4.2 million increase year-over-year. This was after returning $37 million to shareholders over the past year. Inventory at the quarter-end was $70.8 million, an increase of $6.4 million compared to the same period last year. We accelerated the flow of our 2025 core product in anticipation of the uncertainty in cost due to potential tariffs. We continue to manage our inventory flow and continue to diversify our supply chain geographically. Turning to the outlook. Given our solid year-to-date results, particularly for our stores and commercial revenue, offset by lower-than-expected web demand performance, we are updating our annual guidance. While the 2024 GAAP and non-GAAP guidance details are included in the press release, given 2023's additional week, for modeling purposes, I would like to highlight some metrics on a comparable 52-week basis. For the year, we expect total revenues of $489 million to $495 million, representing low-single-digit growth at midpoint, compared to last year on a non-GAAP 52-week basis. Pre-tax income of $65 million to $67 million, representing low-single-digit growth at the midpoint, again, compared to last year on a non-GAAP 52-week basis. As noted, the outlook anticipates continued lower-than-expected web demand, plus ongoing wage and inflationary pressures, including higher medical insurance costs as well as increased depreciation and freight expenses. I would also add that increasing our store guidance to at least 65 locations implies 25 new stores for the quarter. The majority of these are expected to be partner-operated stores with many of those being significantly smaller footprints. In addition, after a decade here, I believe the Build-A-Bear brand is as strong as ever with untapped potential across a number of fronts. And I'm particularly excited about our successful global retail expansion this year into many new countries. Separately, I would like to welcome the new members of our leadership team, who will be an important part of the execution of our strategy to evolve the company by leveraging the power of the Build-A-Bear brand. In closing, I would like to thank all of our store and warehouse associates as well as our corporate team members and partners and wish everyone a happy holiday season. This concludes our prepared remarks, and we will now turn the call back over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] Today's first question is coming from Eric Beder of Small Cap Consumer Research. Please go ahead.
Eric Beder: Good morning.
Sharon Price John: Good morning.
Voin Todorovic: Good morning.
Eric Beder: Great. Could you help us -- a few things here. Could you help us with the inventory number? If we take out the impact from the tariffs, and I fully understand why you did this and it makes a lot of sense, what would have been the inventory increase or decrease? And going forward, how much is China in terms of your value add here? And how much is the ability to shift that?
Voin Todorovic: So, great question, Eric. One of the things as we think about the supply chain and the sourcing organization, where our business is unique in a way that we have a lot of product that we are selling throughout the whole year. So, that gives us flexibility, especially from our core perspective to bring in product earlier and so -- because it's the same product that we are going to be selling throughout next year. We have done a lot of this in anticipation of the potential changes with tariffs. And so, we are just pulling -- so a vast majority of this increase that we are seeing is related to stuff that's in transit. So, our inventory levels will continue to change versus what we have seen in the past as it's two-fold. We continue to grow our Commercial segment. And so, the flow of inventory receipts is going to be a little bit different up and down based on the seasonality of opening stores and replenishment for our partners. In addition to that, we are going to have probably more elevated inventory levels through the end of the year as we have tried to pull as much inventory forward to avoid at least the initial impact.
Sharon Price John: Yeah. I would add to that, Eric. This is not new for us. We have strategically been diversifying geographically for a number of years. We have also utilized this flexibility because of our cash position usually, it's usually very positive, to shift inventory flow and purchasing with our factories. We did that, as you might recall, when the freight costs were escalating significantly that when we predict things like that, we take advantage of our cash situation and the fact that our inventory is often evergreen, like a standard bear, a lot of the outfits or some of our -- some of these core products as Voin referred to, because taking receipt of those, it has very little downside for us.
Eric Beder: Okay. I want to unpack a little bit on the online weakness. I know that you have historically -- excuse me, I know that the shift has been to move more -- we've seen this kind of less of a lag between online exclusives to the stores. And part of that, I think, is because the stores do, I think, a great job of showing the whole product line. Is that part of this year? When you look at this weakness, especially given how strong everything else appears to be, where should we be thinking about this? I'll leave it at that.
Sharon Price John: I'll start with that, and I'm sure Voin will add some more color. Yeah, well, as I mentioned in the remarks, Eric, this is a multiyear process. And you can kind of look at what happens out in the world with a lot of other omnichannel retailers. We're in a little bit of a different situation in that most of the omnichannel retailers, the consumer that they're servicing in their stores and the consumer that they're servicing online are often the exact same consumer. If you think about it on a Venn diagram basis, you're going to have a really big overlap. We service a little bit of a different consumer in both of these channels. One is the traditional family kid end user is the larger proportion of our sales in our stores, and it is an adult often sometimes a teen online buying a collectible, a trend product and often gifting. So, there is going to be some bifurcation of the types of products that we offer, but it is also important that we are using that website because the other reason people come to that when we talked about the 50 million people coming to our website, they 're often checking to see what store is near them, planning a party. So, there's still this fundamental integration between the consumers, our stores, the products and now that we have 'buy online, ship from store', where these are all very strategic steps to become a much more integrated organization where we can have a golden record of the consumers, send out personalized e-mail, send meaningful discounts that are exclusive and specific to the shopping patterns of that individual. Well, it's a hallmark of best-in-class in this area. And that takes a lot of steps to do that as well as highly skilled individuals and the integration of all of these systems that we've been putting in. That's a long answer, but that's not half as long as it takes to make it happen. But you're right, we are truncating some of those launches, which is only marginally associated with this situation. That's really listening to our consumer base. Some of these exclusives that we were offering online for our collectors, there was a push and a request from them that they wanted to make these in store. We're also often shipping them to store because that's an efficient way for us to then service online. Again, it's a very integrated process, and we've not mastered it yet, but we're getting closer every day.
Voin Todorovic: And, Eric, I think that answered really well, but like one additional piece just to add to that. As we think about our business, and you know we are an omnichannel business, it is for us, the goal is always to grow the overall total revenue. And we are agnostic where people are shopping website or stores, and we are very pleased with the overall growth in total revenue. It's resonating with our guests. As Sharon pointed out, there is a little bit of a different guest profile who's shopping online teens and adults versus who is in our stores. But at the end of the day, the product is working. We are very pleased like how stuff is working and performing in those -- in our store locations. And the website, as Sharon shared in her prepared remarks, drives significant amount of traffic and also that traffic funnels to our stores. So, it is a big piece of our ecosystem. And where consumers that will choose to transact is less important to us. Again, we are driving to drive total revenue for the company. And I think we have been doing that consistently over the last several years.
Eric Beder: Okay, true. One quick one. So, the Sanrio collaboration, it was impressive. How should we be thinking about that from a strategic sense? Is that something that makes sense to do on a more permanent basis or in certain locations? Are there other collections like I don't know, Pokemon that would make sense for that? How should we be thinking about that? And the store was really impressive. Thank you, and good luck for the holidays.
Sharon Price John: Thank you. Thank you for mentioning that. That's been an incredible experience for us. Look, we've been in business with Sanrio for a long, long time, and they're great partners and Hello Kitty and Friends, very, very popular and the mashup of the brand for both of our fan bases clearly resonates. So, this was incredibly opportunistic moment for both brands, particularly to go into Westfield in L.A. And as we noted in the remarks, it's been very successful. Yes, by putting a successful stake in the ground like that, certainly, it opens up conversations and opportunities. None of these decisions are unilateral. They're partnership based, and that's how we build great relationships. So, we will be working with Sanrio to determine if that does make sense to open another location. And that success also bodes well for potential other discussions, which, of course, we wouldn't be able to share, but that -- it does open your mind to different types of possibilities.
Eric Beder: Thank you.
Voin Todorovic: Thanks, Eric.
Operator: Thank you. The next question is coming from Greg Gibas of Northland Securities. Please go ahead.
Greg Gibas: Great. Thanks for taking the questions, Sharon and Voin. Congrats on the results. I guess, I was going to ask about kind of the web challenges, but I think you provided color there. If we could dive a little bit deeper on those trends you're seeing with those four key metrics, I think traffic, conversion, units per transaction and size, wanted to get a little bit more color on the trends with those. You said all positive, but anything that kind of stood out more in terms of performance? Or were roughly -- were they all pretty roughly equal drivers of the strength?
Voin Todorovic: Yeah, so thank you for the question. As I mentioned, yes, all of our four levers have been up. We did call out that -- in total, we were up like 9.1%. We shared the traffic was up 3% against the national traffic that was down 3%. The other three metrics we saw increases across all of them. So again, healthy growth in all these aspects. So -- and this is great when we are seeing higher average unit retail, when we are seeing higher conversion in our stores and also when the guests come into our stores, they are buying more units per transaction, which talks about overall marketing that we are doing in our stores and the customer engagement that's happening. Our customers are resonating with that really well, and we are pleased how our Halloween collection really helped drive some of these numbers in the quarter. Again, as I mentioned last year, what we have done, we ran out of product basically before the end of the holiday season. So, we made some strategic investments from the Halloween inventory buys, and that's really helped fuel the growth in Q3 this year.
Greg Gibas: Great. That's helpful, Voin. And I wanted to get just a little bit more color on the increased expectations for store count growth. You talked about net new store count 65 versus the 50-plus before. And I just wanted to get a sense of what's driving that? Maybe where is that upside relative to your previous expectations or plans coming from? Is it simply you're finding more attractive locations? Is it a function of kind of accelerating the timeline? Or any color you can provide there? And just, I guess, regarding that mix, how much is domestic versus international roughly?
Sharon Price John: I'll just give you a little bit of color in the start of that is that we talk about the three different models of corporately-operated, partner-operated and franchise. And interestingly, as we -- highlighted in my comments, as we started to open the international partner-operated locations, in many cases, like in Italy, where we specifically noted, they've been very successful. And so, our partner in Italy, and it's more -- it's a combination, but it's largely up to them on how fast they want to accelerate and open stores or open shop-in-shops often, sometimes they're stand-alone, sometimes they're inside other locations. They've been incredibly bullish on Build-A-Bear. So, they're opening at a faster rate. And we're also now I noted a number of countries where we have created partners, new partnerships. So, a lot of those are international and a lot of those are partner-operated driven by the partner themselves.
Voin Todorovic: Yeah. And just to add a little bit more color, because as we think about all these locations, they are not all the same. We do have a wide spectrum of the revenue projections for these locations. Some of them are larger in size, more like a traditional stores. Some of them are going to be shop-in-shops. So, clearly, there are different economics for those. For example, we have some of the Girl Scout locations that are generally like smallest footprint that we have. So, as you had a lot of those stores, we drive a lot of volume. And I know it is at times a little bit challenging to model. But again, our goal is really to be in more locations, we still believe there is a lot more runway for us, especially as Sharon talked about a lot of different countries that we are in. And again, 20 -- we are in over 20 countries now, but there is plenty more of opportunities around the globe. And this is one of those things that we are excited that our brands are resonating across the world in these locations and that our partners are very excited about the results and performance that they are seeing and you know that they are continuing on this journey with us.
Greg Gibas: Yeah. Good to hear. And thanks for the color there. I guess lastly, just a quick clarification question. Voin, I think you were speaking to some type of guidance on G&A in terms of a percentage of sales in relation to 2023. Wonder if you could just maybe repeat or clarify that, I think I missed a portion of it.
Voin Todorovic: Yeah. So, what we have said that our total -- on a full-year basis, our SG&A as a percent of total revenue will be slightly up versus last year. What we shared previously, we expect it to be flat to slightly down. So, just as we have seen some additional cost increases, especially from the medical insurance perspective, and we continue to see continued minimum wage pressures and compressor challenges, as you know, like the wage rates continue to creep up.
Greg Gibas: Understood. Thank you, and good luck.
Voin Todorovic: Thank you.
Operator: Thank you. The next question is coming from Keegan Cox with D.A. Davidson. Please go ahead.
Keegan Cox: Good morning.
Sharon Price John: Good morning.
Voin Todorovic: Good morning.
Keegan Cox: So, I was just wondering, you guys beat pretty nice this quarter and then the guidance is a little narrowed versus what we kind of expected. Is there anything you can give us more detail on like holiday trends, Black Friday and what you're seeing from the consumer right now in the fourth quarter?
Sharon Price John: Sure. Black Friday is an important part for us. It's not actually as important as it is for a lot of retailers because we're not a big discount destination. But given we have a significant portion of our stores still in malls, which, by the way, the traffic reports were pretty positive this year and positive for us as well, we do participate in it. It's important for us, but not as big a predictor of our future as it is for the quarter or the holiday season as it is for a lot of companies. We tend to see a much steeper -- a pretty steep curve, particularly in a year like this. And what I mean by that is a year when Thanksgiving falls almost as late, if not as late as it possibly can. So that first week of December, which is usually the last week of November falls in the previous quarter. And we're -- so it's a harder, more contracted time period for us to make predictions. So, just a little color on that. Net-net, we were pleased with it. And we offered a number of online and in-store specials, and we -- we felt like it was good for us. I can't say it was gangbusters, but it was strong.
Voin Todorovic: Yeah. And to just tie it back to the guidance, definitely, Q3 was very strong. We said -- as we guided previously, we expect the back half of the year to be very strong. We started Q3 really with double-digit growth, both in stores and online. And that trend continues in stores with a strong Halloween performance. Things have softened on our web and some of that stuff has continued. So, as we think even about Q4, we are still seeing solid results. Again, we saw a little bit more of a lift in Q3 because of the Halloween things and some of the things that I just talked about comparison versus last year. And we feel pretty good about where our stores are. But as you think about some of the shipping times and like when the customers can order and get things, some of these weeks in November and first week in December is where you have like a big portion of your web business completed for a quarter. So, as we were below our expectations, that drove some of that tweaking of the guidance.
Sharon Price John: Yes. I guess, net-net on that, a good store -- continued good store performance, softness in the web, again, leading us to that guidance, a little bit of a guidance narrowing on the revenue, but still beating prior year.
Keegan Cox: Awesome. Thank you. And then, just a follow-up on the wholesale timing shift. You mentioned that it's going to be down sequentially in the -- I think, in the commercial business, right? And so, I was just wondering if this was more of a pull-forward into the third quarter? Or is the delay out into the first quarter of next year?
Voin Todorovic: Well, when you think about a lot of these -- we recognize our revenue at the time of shipments to our partners. So, depending on the timing of openings of these locations and when they are replenishing for the holiday season, just with the calendar, some of those times may fluctuate a little bit, especially now that we have some more international business. So, we still feel good about that business, about the growth, about the excitement in that, but there it's going to be a little bit of choppiness as we start anniversarying some of those initial shipments and timing of replenishment orders.
Keegan Cox: Awesome. Thank you.
Voin Todorovic: Thank you.
Operator: [Operator Instructions] The next question is coming from Steve Silver of Argus Research. Please go ahead.
Steve Silver: Thanks, operator. And thanks for taking my questions, and congratulations on the strong quarter. My question first is around the continued strength in traffic. I think it's very impressive how Build-A-Bear continues to outpace the national retail traffic trends out there. And I think on past calls, you've mentioned the leverage that the company could have when it comes time for lease renegotiations given that strength. I'm curious as to whether -- over the next couple of years, whether there's a certain number of stores that might become eligible for lease renewals and if this continued outperformance does provide the company any leverage in those regards?
Sharon Price John: Yeah, that's a great question, and I appreciate the comment, and I might go as far as compliment on traffic. We think that, one, Build-A-Bear is an experience. So -- and that's been a very strong point of difference for us through some of the shifting consumer buying and shopping habits. We do see, we believe, a return to wanting to have moments and memories together. And that usually is a very positive thing for us during the holidays. And we use that as a strong marketing tool for us. But yes, we did see plus 3% on our traffic where the national retail traffic reported was at a negative 3%. So that's a strong delta. And indeed, when we're negotiating with our landlords and our retail partners, we do note that we're often driving our own traffic. If we're outpacing the mall traffic, that's -- we're not only driving traffic and bringing families and highly desired consumers to the mall, to us, we're bringing them to the mall. And that often is related to other spending that they would do while they're there having a family experience. And our partners tend to recognize and acknowledge that. We have been very careful over the past few years, as I think we've noted with many of you on these calls on certain shorter-term leases as the market has been volatile. So yes, we have different lease optionality and natural lease rates coming up, and we have constant communication -- we're in constant communication, constant updates on those. But I will note, as we also do well, that's pressure on Build-A-Bear, because they know that we're doing well. So, it is a back and forth just because we are a strong brand and a noted brand and that we're driving our own traffic, that's not a [cart] (ph) launch by any means. It's still -- these are still tough negotiations, and we always try to land in the right place with our partners and have enough lease latitude and negotiation latitude. I'm really proud of the team on what we've been able to do over the years, particularly in the post-COVID environment, where we renegotiated practically every single lease. And I think that utilizing the power of the brand has leverage, and I believe we've done a very good job at that. And when you look at our metrics, it would support that position.
Voin Todorovic: And just to add, like we are in the upper echelon of the malls that we are operating in the US, but also, Steve, as you think about our business model, we have been able to operate in a variety of different formats. So, we have formats that we can operate from 200 square feet to 10,000 square foot locations profitably. And so that gives us also significant amount of leverage because we are not forced to be in specific locations and pay the premium rent. So, that's what our teams are working on. We are always looking at these opportunities. But as Sharon mentioned, it continues to be more and more challenging as our company is performing at these levels. And in some cases, some of these rent deals, what we like is our percentage of revenue deals. And those type of deals is what we really like because it also helps landlord as we do well, they do better, but also at a time like if things slow down, we do have some natural leverage and hedging there.
Steve Silver: Great. I appreciate the color. And one last one, if I may. On the international expansion, it's very impressive as well with the increasing the expected store count for the year, now in 20 markets. I'm curious as to whether there's -- whether your partners have communicated their intentions as to whether the international landscape will eventually be in a lot of markets and operating more like flagship locations or around tourist locations. Basically just trying to balance more markets entered versus saturating those markets.
Voin Todorovic: So, I'll start. We are definitely pleased with the markets that we are opening and some of the successes that we are initially seeing. As you think about this process, it does take a long time to really go through the contract negotiation, find the right locations, find the right partners. We are protective of our brand. And really, in a lot of different markets, our partners may be managing multiple businesses, tie back to toys or similar categories. And so, we believe finding the right partners in these countries, it will create a lot more opportunities. And absolutely, over time, some of those things and some of these key markets you want to be in the best real estate, some of our early stores in Milan, Italy, where we families in some of the best mall. So, we are seeing some good results. And that's kind of like part of that strategy to grow and be in a lot of best places in those respective markets. But again, this is the other side of the equation being partner-operated. They are making those choices. They are negotiating these leases with respective counterparts in those countries. So, it does take -- it's more give and take on those, and we have a little bit less control where they can be opening locations.
Sharon Price John: And I would note, we're quite far from saturating any European market or any global market. And so, when I noted 10 stores in Italy, they're not all in one city. They're scattered across from Rome to Milan. So, 10 stores is nowhere near a saturation, particularly when they're -- as Voin noted, they are different sizes. Some of them are shop-in-shops inside of FAOs. Some of them are stand-alone. It depends on the market. And then, you also asked about tourist locations. And yes, in fact, they are cognizant of our over-index of the sales in tourist locations. And these locations in Rome and Milan and some of these other arts, they do base them on tourism. So, just as we do on our own some of the stand-alone stores that we open. So, they are well -- they are very knowledgeable of the metrics that drive the sales, and we, of course, share that information with them because it benefits both parties.
Steve Silver: Great. I appreciate the color, and congratulations again and best of luck through the rest of the holiday season.
Voin Todorovic: Thank you.
Operator: Thank you. At this time, I would like to turn the floor back over to Ms. John for closing comments.
Sharon Price John: Yeah. So, thank you so much, and we appreciate everyone joining us today to hear the results of our record-breaking third quarter. We also look forward to sharing our fourth quarter results with you. And in closing, we would like to wish you and your families a very happy holiday.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.